Operator: Welcome to the First Quarter 2016 ConocoPhillips Earnings Conference Call. My name is Christine and I will be your operator for today's call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Ellen DeSanctis, VP-Investor Relations and Communications. You may begin.
Ellen R. DeSanctis - VP-Investor Relations & Communications: Thanks, Christine, and good morning everybody. Again, thank you for joining our First Quarter Earnings Call. Our speakers for today will be Ryan Lance, our Chairman and CEO; Don Wallette, our Executive Vice President of Finance and Commercial and our Chief Financial Officer; and Al Hirshberg, our Executive Vice President of Production, Drilling and Projects. Ryan will cover the company level comments, Don will then review the quarterly financials and Al will review the operational highlights for the quarter and our outlook for the rest of the year. Before we start, I wanted to let all of you know that we have set a date of November 10, 2016, for our analyst and investor meeting, this year's analyst and investors meeting. The event will be held in New York and we will provide some additional details soon, we just wanted to make you got that on your calendars. Finally, we will make some forward-looking statements this morning. The risks and uncertainties in our future performance have been described on page two of today's presentation as well as in our periodic filings with the SEC. And of course that information, in addition to some supplemental data for today's earnings, can be found on our website. Now it is my pleasure to turn the call over to Ryan.
Ryan M. Lance - Chairman & Chief Executive Officer: Thank you, Ellen, and thanks to all for joining the call today. Before I jump into the quarterly results, I want to make some general comments about the company and the environment that we find ourselves in today. On the next couple of slides, I'll address how ConocoPhillips is positioning to create value as an independent E&P company. I'll describe our value proposition and how we'll compete in a world of lower mid-cycle and more volatile prices. I'll also describe how we're prioritizing our business activities in the short term, the medium term and the long term. I think it's important for investors to know how we're thinking about the current environment, but also how we have positioned the company for strong performance when prices recover. So if you please turn to slide four, we'll get started. We believe that our value proposition lies in the combination of our unique portfolio attributes and our capital allocation principles. Let me start with the left side of this slide. Underlying our value proposition is a portfolio that we think is quite unique among E&Ps. We've listed several attributes that distinguish our asset base. We have a diverse, relatively low decline base production. We expect our decline rate to moderate somewhat over the next few years as we bring on additional tranches of low to no decline oil sands and LNG projects. Growth will come from investments in our large low cost to supply resource base. We continue to analyze and calibrate this resource base as we believe it holds profitable investment inventory to keep flat production or grow modestly for well over a decade. Within this captured resource base, we have a mix of flexible short cycle projects and lower risk medium cycle investment projects. We see a roll for both of these types of assets in our portfolio. And finally, the key to being successful in a cyclical business is to have a sustained low cost structure. Now, on the right side of this slide, are the capital allocation principles that describe our value proposition. Conceptually, the principles are similar to the ones we had at the time of the spin, namely, give cash back to shareholders, maintaining strong investment grade balance sheet and exercise disciplined growth. Obviously, these elements have been reset, but this is still how we expect to deliver returns to the shareholders. Now let me go through these principles. We reset the dividend, but we still intend to return a meaningful portion of our cash back to our shareholders through a cash dividend. In February, we set the dividend at a level that we believe can be sustained through the price cycles, but that also results in a competitive yield compared to the broad market, as well as to the E&Ps. The dividend will remain a core part of our offering and we are targeting annual, real growth in that dividend going forward. We remain committed to have a strong investment grade balance sheet. The recent downturn has emphasized the importance of a strong balance sheet. We've set a target to get our debt to less than $25 billion. The pace of that debt reduction will depend on prices and asset sales progress, but de-levering is a top priority as we come out of the downturn. We have positioned the company to compete on financial returns. So despite having a large low cost to supply portfolio, we won't grow for growth's sake. We'll continue to be very disciplined about how we allocate our growth capital. We're in a strong position to do that as we come to the end of a significant major project investment phase. You'll notice that we're stating that our growth could be on an absolute or per share basis. Again, financial returns are at the core of our value proposition. If we get the returns right, the rest will follow, and we're committed to getting the returns right. So the way we think about creating value through the cycles is to have clear principles that align with a competitive portfolio to generate strong returns for the shareholders. One without the other is not sufficient and we believe we have both. We believe we have a sound value proposition, but what also matters is how we are executing our value proposition for the short, medium and long term and it's important to be disciplined across all three time horizons, especially coming out this price downturn. Now, I'll cover this on the next slide. First, the short term. For us, it's all about defending against low prices in 2016 and 2017. In the first quarter, we raised $4.6 billion of low-cost debt. We announced this morning that we're further cutting 2016 capital from $6.4 billion to $5.7 billion. We reset the dividend for the lower end of the price cycle. We have strong liquidity, including about $5 billion of cash on hand at the end of first quarter. We think we took the right short-term steps to protect against an extended period of weak prices. At the same time, we're staying disciplined and continuing to safely execute our operating plan. And Al will provide more details about that in a moment. But we're running well and our key projects are on track. Finally, we're focused on lowering the breakeven cost of the business. Now for perspective, if we were in a steady-state world of sustained $45 per barrel oil prices, we believe we could cover the capital required to maintain flat production and pay our dividend with cash from operations. Now, this steady state for us comes after completion of our major projects and a reallocation of capital to our low cost to supply conventional and unconventional portfolio. This positions us to accelerate performance as prices improve in the medium-term. Debt reduction will be a priority and we'll target growing the dividend on a real annual basis. We remain focused on safely executing the business. We'll complete several major projects in the medium term, then we'll wrap up production from those projects. Finally, when prices start to recover, it will be important to stay diligent our cost efforts. Our long-term goal is to execute predictable performance in a world of lower, more volatile prices. We can do this by achieving our target debt level and striving to maintain cash flow neutrality. Now, we define cash flow neutrality as CapEx for flat production, plus our dividend, equals cash from operations. As we generate cash in excess of cash flow neutrality, we have choices about how to allocate those funds. We can return cash to shareholders through share repurchases or we could fund more investments in our low cost to supply resource base. Growth CapEx will compete with distributions to shareholders. That means we're not setting a target for absolute growth because we're willing to grow on a per-share basis if that makes more sense. We'll continue to high-grade the portfolio and those proceeds will be allocated to debt reduction, distributions and CapEx. We could also choose to keep additional cash on hand, especially if we thought another low price cycle was approaching. The decisions on how we allocate the cash flows will be based on staying disciplined, achieving the best returns and maximizing value for shareholders. Now certainly, the last 18 months have really brought home some fundamentals for how to thrive in a cyclical business. We believe it's essential to have a high degree of capital flexibility, a low cost to supply portfolio, best in class cost structure and a strong balance sheet. Most of all, you have to be disciplined. The way to win in a cyclical business is to have a low cost of supply portfolio and to be the most resilient when prices are low and the most disciplined when prices are high. Now, I hope these short comments were helpful, but on slide six I will summarize the results for the quarter. The left column recaps the strategic actions that I've just described. The middle column captures our operational highlights and Al will discuss those in a bit more detail. We met our goals in and our important capital programs are progressing well. The right column summarizes the financial results for the quarter. And there's no getting around it, it was a very weak quarter, financially. Underlying performance on the things we can control, like operating costs, was strong, but the bottom line was a large adjusted net loss that clearly reflected the weak commodity price environment. So now, let me turn the call of the Don for a few comments on our financial results.
Donald Evert Wallette - CFO, EVP-Finance & Commercial: Thanks, Ryan. I'll start with our first quarter adjusted earnings on slide eight. As Ryan mentioned, we had a strong quarter operationally, but low commodity prices continued to dominate the quarter's financial results. We reported an adjusted net loss of $1.2 billion, or $0.95 per share, with realized prices down 20% sequentially and 38% year-over-year. First quarter adjusted earnings by segment are shown in the lower right side of the slide. Our segment-adjusted earnings are roughly in line with expectations. The supplemental data on our website provides additional financial detail. The only notable item to call out this quarter is in the lower 48, where earnings were negatively impacted by approximately $70 million, as a result of a dry hole at the Melmar prospect in the Gulf of Mexico. A couple of other items of note, while we have lowered capital guidance, we are not changing any other guidance items at this time. This includes operating expense, which ran light to expectations this quarter. We expect to give you an update at midyear. Also, we've updated our sensitivities in the appendix of this deck. We changed Henry Hub to reflect the impact of last year's asset sales and WTI to reflect production decline in the lower 48, due to reduced drilling activity. Turning to slide nine, I'll cover production. First quarter production averaged 1.578 million BOE per day, which was the upper end of guidance, reflecting increased ramp at APLNG and better performance across the portfolio. Last year's first quarter volumes were 1.61 million BOE per day, but after adjusting for dispositions, first quarter 2015 volumes would be 1.54 million BOE per day. As a reminder, the majority of those dispositions were natural gas properties, so as a result, North American gas represents only 19% of our overall production this quarter, compared to 24% in the year ago period. Continuing through the waterfall and netting out the differences in downtime, we saw an underlying increase of 34,000 BOE per day, or 2%. That increase came primarily from APLNG gas and Canadian bitumen, partly offset by a decline North American gas. This gets you to 1.578 million BOE per day of production for the quarter, so underlying performance is strong. If you turn to slide 10, I'll cover the cash flows during the quarter. We started the year with $2.4 billion in cash and generated $700 million from operating activities, excluding working capital. Working capital was an offset of about $400 million in the first quarter, but we expect it to be a wash for the full year. During the quarter, we received about $100 million of net proceeds from dispositions. Net debt increased by $4.5 billion, and capital spending for the quarter was $1.8 billion, which we expect to be the high watermark for the year. After dividend payments of $300 million, we ended the quarter with $5.2 billion in cash and short-term investments. It was a tough quarter financially, but we ended the quarter with a significant amount of cash on hand and strong liquidity to manage through the price environment. We can't do much about prices, but the key is to continue executing the business well and we're doing that, as you'll now hear from Al.
Alan J. Hirshberg - EVP-Production, Drilling & Projects: Thanks, Don. I'll provide a brief update on each of our operating segments and then we can move on to your questions. I'll start with the Lower 48 and Canada segments on slide 12. In the Lower 48, our production in the first quarter was 491,000 barrels oil equivalent per day. That's down 15,000 barrels per day, or 3%, compared to our first quarter production last year, once you adjust for asset sales. The reduction is primarily due to our reduced rig count last year, which is impacting our production this year. We further exercised our capital flexibility in the Lower 48 and dropped down to three operated rigs in April, and we plan stay at that level through 2016. Now that said, even with the lower rig count, we are continuing to realize strong efficiencies in the Eagle Ford and Bakken and we'll keep leveraging technology and working with our vendors to improve performance and capture deflation where possible. In exploration, the non-operated Gibson well is currently drilling. However, that's the last exploration well that we plan to drill in the deepwater Gulf of Mexico. In this price environment, we don't feel it's prudent to continue allocating capital to new deepwater prospects, so we no longer plan to drill Horus or Socorro, which we had planned to drill with the Maersk Valiant drill ship. By the way, these changes account for about half of our 2016 capital reduction from $6.4 billion to $5.7 billion that Ryan referred to earlier. Looking at Canada, our production was 293,000 barrels per day; that's an increase of 2% compared to first quarter 2015 production of 288,000 after adjusting for dispositions. The increase is driven mostly by improved well performance in Western Canada and ramp up at Surmont 2. In the past year, we've increased our bitumen production by 6% and reduced underlying gas production by 3%. But when you include asset sales, though, gas is down 23%, so we've significantly changed our production mix in Canada. So moving over to slide 13, I'll cover the Alaska and Europe and North Africa segments. These regions have many of our legacy assets that still compete for capital. As you can see, the low cost of supply projects we brought online over the last couple of years are beginning to offset natural declines. In Alaska, we're seeing favorable results from our CD5 and drill site 2S projects, which both started up in the fourth quarter of last year and are contributing to a 3% production increase over the first quarter of 2015. We also just approved an additional phase at CD5, which will bring more wells online in late 2017. We're starting activity at GMT1, which was sanctioned at the end of 2015, and is expected to come online in late 2018. In Europe, production is also up 3% versus the first quarter of 2015, and we have several more projects underway which are expected to start up over the next couple of years. In late 2015, we successfully took over operatorship at Britannia, which was previously operated by a joint venture. We're seeing cost savings from this action and it's a good example of efficiency improvements that we've been able to implement. Slide 14 covers our last two segments, Asia Pacific and Middle East and Other International. I APME, production is up 36,000 barrels of oil equivalent per day, or 10% year-over-year, primarily as a result of the ramp up at APLNG. Train one is running well and ramped up more quickly than anticipated with 11 cargoes loaded in the first quarter. And as of earlier this week, we've actually now loaded 15 cargoes at APLNG. In Malaysia, we're ramping up the Gumusut after starting up the gas and water injection and we're continuing to progress the Malikai project, which should start producing next year. As the Other International segment is exploration focused, the main news for the quarter is from Senegal, where we completed several successful appraisal wells and drill stem tests to further evaluate this new play-opening discovery. So, Ryan started the call with details of our value proposition and strategy and then Don covered the financial results. If you'll turn to slide 15, I'll wrap up with our operational outlook of the year. While we continue to focus on lowering capital and reducing costs, we're committed to safely delivering on our operational commitments. As we previously guided, we expect our 2016 production to be essentially flat to 2015 when you exclude the full year effects of asset sales. This result is driven by some decline in the Lower 48 unconventionals as we continue to exercise our capital flexibility there, offset by growth in the other segments. In the second quarter, production is expected to be between 1.5 million and 1.54 million barrels per day. The reduction from first quarter is a result of major turnaround activity we had planned, primarily in Europe. Turnaround activity will continue into the third quarter, mostly in Europe and Alaska. By the fourth quarter, we expect production to increase as our major turnarounds are completed. We're continuing to ramp up at Surmont 2 in Canada and have ongoing project developments in Alaska, Europe, and Asia-Pacific that will also add to production. Finally, in Australia, we expect to deliver the first cargo from APLNG Train 2 in the fourth quarter of this year. So, the price environment continues to be challenging, but as always, we'll continue to focus on the things we can control – delivering best in class safety performance, bringing our projects online, on time, and on budget, and meeting or exceeding our operating targets. So now, I'll turn the call over for Q&A.
Operator: Thank you. And our first question is from Evan Calio of Morgan Stanley. Please go ahead.
Evan Calio - Morgan Stanley & Co. LLC: Good afternoon, guys. Let me start off with a macro question. On the last call you talked about potentially adding rigs into 2017 in the lower 48. I know it's a complicated formula, but is there a threshold commodity price that you need to see to add in 2017, given spending and deleveraging objectives? How do you think about that?
Alan J. Hirshberg - EVP-Production, Drilling & Projects: Evan, this is Al. I will take that one. I guess, first I should say that as I said earlier, we don't have any plans to add any rigs beyond the three that we're running in the lower 48 in 2016. And of course, we haven't set our 2017 budget yet, so haven't determined how many we would run there. But overall, I would say that there is no set spot price that we're trying to watch as a trigger to start adding back activity. We'll be looking at the entire macro environment, looking at supply and demand fundamentals of whether we think that any price action that we get is actually sustainable or not. And then as prices do come back, our first priority is going to be to strengthen the balance sheet, reduce our debt. And then even after that, we recognize that adding capital for organic growth is going to have to compete with other things on our list, like for example, per share growth. So, we're not in a hurry to say there's some price trigger where we're going to add back capital.
Evan Calio - Morgan Stanley & Co. LLC: Right. So I think as a follow-up, I think in 3Q you mentioned you need 16 rigs to hold unconventional production flat, and now you're at three. What's your implied decline, unconventional decline or lower 48 decline, sorry, in your guidance?
Alan J. Hirshberg - EVP-Production, Drilling & Projects: Yes, if you look at the overall decline for say full-year 2016 to full-year 2015, we expect it to come in around 10% with the rigs that we are running – with the three rigs.
Evan Calio - Morgan Stanley & Co. LLC: Great. I'll leave it there. Thanks, guys.
Unknown Speaker: Thanks, Evan.
Operator: Thank you. Our next question is from Doug Leggate of Bank of America. Please go ahead.
Doug Leggate - Bank of America Merrill Lynch: Thank you. Good morning, everyone. I have to say I love the per share focus, Ryan. A couple of question, if I may, around that. First of all, on the debt metrics, do you have some kind of measure you're using, whether it be net debt to capital or EBITDA coverage or something like that, that you're aiming to get to in terms of – because I think Jeff had said in the last call that you were happy around $25 billion. Obviously, it's a little higher than that now, so is their some framework that you can give us at to where you want the balance sheet to get to before you perhaps embark upon buybacks?
Ryan M. Lance - Chairman & Chief Executive Officer: Yes, let me ask – Don's got some comments there, Doug – if you could?
Donald Evert Wallette - CFO, EVP-Finance & Commercial: Yes, Doug, we're trying to send a very clear message that we don't want to be carrying balance sheet debt of nearly $30 billion. And so, this is the reason why we set a very clear, specific goal to bring that down to below $25 billion. We think for a company our size and diversity, we're comfortable with the coverage provided across a range of mid-cycle prices with that level of debt.
Doug Leggate - Bank of America Merrill Lynch: Okay. So there's no specific metric like an EBITDA multiple or something like that you're targeting?
Donald Evert Wallette - CFO, EVP-Finance & Commercial: No, we're targeting going down to a specific debt level, and that sort of has an implied debt to cash flow type multiple, depending on what sort of mid-cycle price you want to look at.
Doug Leggate - Bank of America Merrill Lynch: Okay. Great. Thank you. My follow-up is I think, Ryan, there's still – or maybe Don – there's still probably some confusion around what your sensitivity looks like to the commodity. I mean, in your appendix of your slide deck, you're sticking with earnings sensitivities. I wonder if I could ask you just to walk us through what happens at the cash flow level, assuming there is some kind of recovery in the commodity at some point?
Donald Evert Wallette - CFO, EVP-Finance & Commercial: Yes, sure, Doug. I think, obviously, that these product prices that we're at now, we are not in a tax-paying position. So the sensitivities as you would've applied them a few years ago to try to convert from net income to cash flow, no longer apply. So the simplest guidance that I can give you is just take those net income sensitivities and gross them up for the tax impact. So, if you divide by 0.6, then that will make a conversion, as long as we're not in a taxpaying position.
Doug Leggate - Bank of America Merrill Lynch: When does – up to what level – is that like up to $60 level? Can you frame that for us?
Donald Evert Wallette - CFO, EVP-Finance & Commercial: It's not – this is a very complex question because we are operating in so many different tax jurisdictions – and it depends a lot on the price path that you take to get to that number. It's going to be different all across the company, but I think in general terms, $60 is probably a pretty good guess overall for the corporation.
Doug Leggate - Bank of America Merrill Lynch: Great. I'll leave it there. Thank you.
Ryan M. Lance - Chairman & Chief Executive Officer: Thank you, Doug.
Operator: Thank you. Our next question is from Neil Mehta with Goldman Sachs. Please go ahead.
Neil Mehta - Goldman Sachs & Co.: Hey, guys.
Ryan M. Lance - Chairman & Chief Executive Officer: Hey, Neil.
Neil Mehta - Goldman Sachs & Co.: So, on the reduction in capital spending, I think you called out a couple of items in the quarter, but just wanted to make sure I got all of it. So the drivers that got you down to $5.7 billion from the $6.4 billion, if you could just help us walk through that? And then, does that impact the way you think about the $6 billion you need to keep production flat in a $60 world?
Alan J. Hirshberg - EVP-Production, Drilling & Projects: Okay. The 0.7 billion of reduction, just about half of that as I mentioned earlier comes from the reduction that we're taking earlier on deepwater Gulf of Mexico by have not drilling Horus and Socorro. The next biggest item after that, actually, is additional deflation beyond what we had already assumed in our numbers. And then beyond that, it's all smaller things around the world in different places, APLNG, China, Indonesia with some small reductions. APLNG is a joint venture because we've got some extra cargoes over what we'd anticipated because the plant's running so well. That extra revenue has us putting a little less cash in there. So it's smaller things like that that add up to the rest of that to get us to that $5.7 billion. So none of those things are going to have any impact on 2016 production, and only a very tiny impact on 2017 production, some those small deferrals. As far as the way you think about how much CapEx it takes to stay flat, the only thing on that list that might impact that a bit is just the deflation. We're still in that $5 billion to $6 billion range of what it's going to take to stay flat. Over a long period of time – Ryan talked about 10 plus years in our resource base that we – in a $5 billion to $6 billion real kind of capital per year that we can hold production flat.
Ryan M. Lance - Chairman & Chief Executive Officer: At the kind of prices that you quoted, Neil.
Alan J. Hirshberg - EVP-Production, Drilling & Projects: Right.
Neil Mehta - Goldman Sachs & Co.: That's great. And then, I know as part of the work that you're doing into the Analyst Day, you're doing an economic analysis to figure out the cost of supply and the returns of different parts of your portfolio. Could you just talk a little bit about how shale competes relative to some of the other non-OPEC projects outside the U.S., as you think about where it is best to deploy capital, both on the cost of supply but then also on a cycle of time basis?
Ryan M. Lance - Chairman & Chief Executive Officer: Yes, I think we referred to that a bit in my opening comments. We really have been working pretty hard to position the portfolio over the last couple of years into shorter cycle time investments. And when we look at the cost of supply across our portfolio, the things that we think compete really well against any investments globally around the world are some of our conventional legacy investments around China, Alaska, Norway, U.K., Malaysia; and then our unconventional investments, which I think was more the point of your question, around the Eagle Ford and the Bakken. While they could have a gross wide range of cost of supply, if you're in the best rocks like we are and the positions that we are, those cost of supplies are very competitive with anything that we've got or any non-OPEC kind of investments that you referred to around the world today. So we'll talk a bit more about that in the analyst meeting that Ellen referred to coming up to show you, even within our portfolio, there's a range of cost of supplies around each asset, but we're getting to the place where we understand that very well, so we can make sure that we are very disciplined in terms of how we allocate the capital to the highest returning, lowest cost supply assets in the portfolio.
Neil Mehta - Goldman Sachs & Co.: That's great, Ryan. Thank you.
Operator: Thank you. Our next question is from Phil Gresh of JPMorgan. Please go ahead.
Phil M. Gresh - JPMorgan Securities LLC: Hey. Good afternoon.
Ryan M. Lance - Chairman & Chief Executive Officer: Good afternoon, Phil.
Phil M. Gresh - JPMorgan Securities LLC: First question was, I think, a follow-up to Evan's question where you're talking about reinvestment. And I think in the last call you talked about roughly $2 billion of roll-off spend from 2016 to 2017 that could be used to reinvest and potentially keep production flat, but you also mentioned now that you're not in a hurry to add rigs and unconventionals. So, I was just trying the square those two items and how we should be thinking about that flexible capital. I assume that flexible capital also steps down a little because you pulled some of that forward with the deepwater decision this quarter.
Alan J. Hirshberg - EVP-Production, Drilling & Projects: Yep, Phil. That's exactly right. The $2 billion is what we were talking about before and with the step down, that number is now about $1.5 billion, $1.6 billion, it's in that range of roll-off from 2016 to 2017, so that's still there. You can roughly think of that about that about $1 billion of it is from APLNG and FCCL and about $0.5 billion from the deepwater. But then there are some offsets in our base plan. We have some of these mid-cycle sized projects that we have executing that are going to be bringing us volumes over the next few years that are in a phase in their life where their capital is actually going to be increasing 2016 to 2017, and that's close to $1 billion. So that's things like a Bohai Phase 3 in China, Clair Ridge, GMT1, 1H NEWS, Aasta Hansteen. Some of those kind of mid-sized projects are going to use some of that. That still leaves on the order of $0.5 billion dollars of additional flexibility that we will have. But at the end of the day, we're still – expect that between $5 billion and $6 billion is what it would take to hold production flat over the coming years.
Phil M. Gresh - JPMorgan Securities LLC: Okay. Got it. My follow-up is with respect to the balance sheet piece that you're talking about, $25 billion target, I assume over time. You also have a fair amount of cash on the balance sheet. So I was just trying to understand minimum cash requirements and roughly how quickly in a stripped case, you feel like you could get to that $25 billion target? Do you have a goal around that?
Donald Evert Wallette - CFO, EVP-Finance & Commercial: Well, this is a medium-term priority that we see occurring over time as prices recover. We do have a good cash balance; we're looking at using some of our cash balances to reduce our debt balances and you may see some of that activity as early as the current quarter. And then come October this year, we've got a maturity of about $1.25 billion, and so that will provide another opportunity, but that's something that we'll look at later in the year, and that'll depend quite a bit on our financial position at the time, how much leverage we're comfortable carrying and probably most importantly, our outlook on product prices over the short term, over the next year or so.
Phil M. Gresh - JPMorgan Securities LLC: Okay. Makes sense. Thanks.
Operator: Thank you. Our next question is from Blake Fernandez of Howard Weil. Please go ahead.
Blake Fernandez - Scotia Howard Weil: Folks, good morning. I had two questions, I guess both really on shareholder returns. The first on, I guess, getting back down to that targeted debt level. Once we do get to free cash flow neutrality and then really in excess cash flow, is it fair to think that the primary target will be reducing debt over and above shareholder returns, vis-à-vis dividend increases and or buybacks? And then I guess the second question, I will go ahead and ask them both. Are there any specific metrics you're going to be evaluating on buybacks versus reinvesting into the business? I guess I'm trying to get a sense is to if this is going to be a ratable type of program or more opportunistic depending on where the equity price sits at the time?
Ryan M. Lance - Chairman & Chief Executive Officer: Yeah, Blake. Maybe I'll take the first one. I think when you look at what we've kind of set as priorities, we've got clearly in the medium term, we need to get the balance sheet repaired and back down to the target levels that Don described. But at the same time, we think we're going to target annual real increases to the dividend at the same time. I mean, to put that in perspective, a 3%, 4%, 5% dividend increase is less than $60 million. So I think we're going to – that will be important to us to demonstrate that as well as we're going forward. So, we'll be targeting some of those annual returns to the shareholder through the dividend channel and also reducing the debt as we come out of an area where we're generating free cash, or we've reached that point of cash flow neutrality that you referred to. Now, as we get that free cash and we think about it, what we've said is we're just going to be really judicious about allocating the capital. We'll make sure that per share growth competes with organic growth that we have in the portfolio. I think we'll probably, maybe a bit less ratable, we'll try to be a bit more opportunistic around that.
Blake Fernandez - Scotia Howard Weil: Great. Thank you, Ryan.
Operator: Thank you. Our next question is from Roger Read of Wells Fargo. Please go ahead.
Roger D. Read - Wells Fargo Securities LLC: Thanks. Good morning. Here in Houston, still anyway. Quick question for you on the OpEx side, obviously ahead of pace, Q1 not changing target for the full year, and kind of coming with some of the questions asked earlier about oil prices recovery, you start maybe spending more on CapEx, reducing debt. What is your outlook for the OpEx side? Is this a sustainable level or is there an inflation that's got to come back or some deferrals that are likely to hit in 2017 or 2018 that won't occur in 2016?
Alan J. Hirshberg - EVP-Production, Drilling & Projects: Okay. Roger, I'll take that one. First, just remind us where we've been. Go back to just one year ago in April of 2015 at our Analyst Day, we were talking about being at $9.7 billion of OpEx in 2014, and we set a $1 billion reduction target. And we beat that in 2015 by coming down $1.7 billion down to $8 billion. And then we've taken another $1 billion out in our target for 2016, and as you correctly point out, if you look at the first quarter number and multiply by four, you get a number that's less than $6.5 billion. So, we were on a really good pace in the first quarter. Our operating and our technical teams and our supply chain folks have really been successful at driving out cost. And the focus in all that work, as you were kind of hinting at, has been on sustainability, finding sustainable reductions, structural reductions while also capturing as much of the cyclical as we can, even though we know we'll have to give some of that back at the end of the day. So I, frankly, I do expect to beat $7 billion this year. But we've got these turnaround season coming. There's also the Horus and Socorro decision and that rig was going to be on CapEx, and we'll have about an incremental $100 million of OpEx as we have a stacked rig there. And so, our organization is going to continue working. We've got a lot of work going on to continue to work on OpEx, and I expect that we'll beat that number. But really at midyear, I think we'll be ready to update where we're going to land.
Roger D. Read - Wells Fargo Securities LLC: Okay. Thanks. And then my other question, asset sales, obviously not much in Q1, everybody knows about the giant backlog out there, but any progress at all you can hint towards for this year?
Ryan M. Lance - Chairman & Chief Executive Officer: Yes, I'll take it, Roger. I think we said throughout the years, we ought to be able to invest $1 billion to $2 billion. We'll probably be on the lower end of that. I think what we showed in the first quarter was $100 million, and I think we're pretty close to doubling that as we look forward, kind of over the next quarter in terms of things we got in the process to close, but probably be the lower end of that. We pulled some assets off the market where we're not getting what we think is fair value for it. But there are a few more assets that we still have on the market that we're hopeful around. So I think will be at more than what we showed, certainly in the first quarter, but we may not hit the full $1 billion mark that we're – what we were trying to hit at the beginning of the year. The market's just softened quite a lot, as you described.
Roger D. Read - Wells Fargo Securities LLC: Great. Thank you.
Operator: Thank you. Our next question is from Doug Terreson of Evercore ISI. Please go ahead.
Douglas Terreson - Evercore ISI: Good morning, everybody.
Ryan M. Lance - Chairman & Chief Executive Officer: Good morning, Doug.
Douglas Terreson - Evercore ISI: I was off for a few minutes and so if you covered my question, just let me know. First I think, Ryan and Al made it pretty clear that there's going to be a shift in emphasis away from growth and towards returns on capital with distributions to shareholders important too, although that's always been the case for you guys. So, my question is whether the company plans to use specific metrics such as capital expenditures, preemptive shareholder distribution or some other metric that you deem important to manage to the objectives over the next couple of years, and just to ensure that the capital management plan is kept within the boundaries. Or put another way, the question is really how in practice will you execute this plan and keep us abreast of the progress? How are you thinking about that?
Ryan M. Lance - Chairman & Chief Executive Officer: Yes, Doug, I guess probably not a real precise formula in how you go through that. A lot depends on how fast from the slope of the recovery as we go forward, how quickly we can get the balance sheet down to the target levels that we're talking about. But I think what we tried to describe to people is we, as the price does turn and we get above sort of a breakeven price, we start generating that free cash flow. What we've said is we think we ought to be investing in short and medium cycle projects; we ought to be real returns back to, annually, real returns back to the shareholder through the dividend channel and then just paying pretty close attention to where the stock is trading in the marketplace, how we think, is it an undervalued stock so we can look at the returns that we might get on a per share basis and compare that to the constant supply and the opportunity to invest in the organic side of the portfolio. We've got a pretty deep inventory of things to choose from, but know we've got a range of constant supply sitting in that portfolio as well. But we probably won't have an exact formula. We won't make a declaration about how we're doing it, but we will certainly report how we're doing that quarterly to you.
Douglas Terreson - Evercore ISI: Okay. Well, I think better balance would be welcomed by the market for everybody, so I think that's good news. And then also, Ryan, in Canada, I wanted to get your insight into the opportunity that you see from the solvent technology that's begun to become available, meaning, is this something that you guys are optimistic about for your portfolio? Are you employing it already? What do you think the opportunity is there for the company?
Ryan M. Lance - Chairman & Chief Executive Officer: Well, I think it's part of our effort to get constant supply in the oil sands down to something that's competitive in the portfolio. I can probably let, Al might have more detail on that, more current detail, anyways. But in either case, Doug, we plan to provide a lot more detail about that in November. But I'll let Al jump in as well.
Alan J. Hirshberg - EVP-Production, Drilling & Projects: I think you've probably seen some things out there in the industry being talked about around that technology, Doug. We're excited about it also. We call our version of eSAGD and we have run a few pilots going back quite a few years to try to optimize the way we use that technology and it definitely works. It's a methodology to lower your steam oil ratio and also to thereby reduce your greenhouse gas emissions per barrel of production, and so it's got a lot of attractiveness to it. One of the key variables is just the solvent recovery and how much of that solvent do you get back versus having to put more into the ground. And that's somewhere where we've had our focus. But I think we'll probably have an opportunity to address where we see that headed, that technology along with some others, at our analyst day in November.
Douglas Terreson - Evercore ISI: Okay. Great, Al. Thanks a lot.
Operator: Thank you. Our next question is from Guy Baber of Piper Jaffray. Please go ahead.
Guy Allen Baber - Simmons & Company International: Thank you, guys, very much for taking my question. Al, you highlighted that you, you highlighted the declines for the U.S. unconventional volumes. With another quarter under your belt, now running at three rigs, your latest view on deflation capture and efficiencies, do you have an updated view as to the level of capital or the amount of rigs you would need to redeploy into the U.S. to reverse that decline and to begin to grow that production? And along those lines, with the activity reductions that have taken place for you, the head count that we've lost more broadly across the service sector, can you just discuss for us the lead times that may be developing for you to begin to pivot from reducing rigs back to increasing activity levels? And how do you think about preserving that flexibility to ramp up over time?
Alan J. Hirshberg - EVP-Production, Drilling & Projects: Well, I should've written all those questions down. I'll try to catch them all. Well, first, on supply chain, let me just mention our overall progress there. We talked at our analyst day a year ago about trying to get $1 billion – that's both CapEx of OpEx – of supply chain savings. And we did achieve just a little over that in 2015 of deflation savings, CapEx and OpEx, from our supply chain. And then we set a target for ourselves for this year to get another $1 billion. And so far, we're on track for that. If you look at actually captured deflation savings in 2016 for us in the first quarter, it was $300 million; that's CapEx and OpEx. So we're on track there, and in fact, are starting to think about our window of opportunity for locking in some of these prices for longer periods of time going forward, as we think about what our cost structure is going to look like as things start to come back. In terms of the rigs that we need, let me just talk about, say, the rigs that we need to hold flat. So we're down the three rigs in the Lower 48 right now. We would need to get back up 12 to 13 rigs, somewhere in that range, in order to just get back to holding our production flat, and a number higher than that to start growing our production again. We have retained the capability amongst our staff to be able to do that, and so, from our internal standpoint, we could do it relatively quickly if that's what we chose to do. From an external standpoint, obviously, there has been a lot of loss of both hardware capability and people capability amongst our contracting community. And so, I think the first leg of returning some rigs back to work is going to be something that can be done in a fairly short amount of time, but similar to us, where we go from 3 to 12 or 13 to hold flat, well, to go to that even bigger number to grow, if the whole industry's trying to do that at once, I don't think that capacity's going to be there. And so, it'll have to be built up over time, and I can see that being north of the year, a one to two year kind of timeframe to really build that kind of capacity back. In other words, I don't think U.S. unconventional production could go back up as fast as it came down, or is coming down still.
Guy Allen Baber - Simmons & Company International: Yeah, no that's – thanks for those comments, Al. And then my second question, even though the first one, I guess, had multiple parts, is the view now that longer cycle time greenfield projects are no longer necessary for Conoco to hold the production flattish longer-term through the cycle at that $5 billion to $6 billion of CapEx?
Alan J. Hirshberg - EVP-Production, Drilling & Projects: Yeah, that's exactly right. That is one of the conclusions that we've reached is that as we look into that deep set of resource base, low-cost of supply – we're going to show you more about this in November, just how much that cost of supply has come down. It's dramatically lower than the cost of supply numbers that we showed you last April. And so, it gives us that deep bench of anywhere from shorter cycle to medium cycle sort of sized projects that allows us as we look out well over a decade to hold production flat in this $5 billion to $6 billion kind of range without needing any mega projects or long cycle projects to do that.
Operator: Thank you. Our next question is from Paul Cheng of Barclays. Please go ahead.
Paul Y. Cheng - Barclays Capital, Inc.: Hey, guys.
Unknown Speaker: Hey, Paul.
Unknown Speaker: Hey, Paul.
Paul Y. Cheng - Barclays Capital, Inc.: Hey. Ryan, I think that I have two questions. The first one is probably for Don and Ryan. In terms of your medium-term target for the debt reduction, $25 billion, I'm just curious, given the industry, it seems like every time when we have a major downturn, the industry is caught by surprise. At $25 billion, certainly at a reasonable oil price environment, you are more than comfortable to handle it, but given that our ability to predict the turn of the cycle is close to zero, or at least that's the track record. So should we target the debt reduction to be significantly more than that? And in the sense that you position yourself, if indeed, we got caught by surprise and had a major downturn, not only you won't be getting into any financial distress, but you also could take the opportunity to be a buyer and not a seller.
Ryan M. Lance - Chairman & Chief Executive Officer: Well, I think, Paul, yeah, I mean, we're going to be looking at all those items. So when we say less than $25 billion, that's exactly some of the thoughts that are on our mind is, how do you prepare for the next down cycle? Because we think we need to set up the company to be successful in a lower mid-cycle price with more volatility. The added comment to the balance sheet piece is certainly, we'll be watching that and trying to decide, but we're setting ourselves up with a lot of capital flexibility in these shorter cycle time projects, so it's not just – there's going to be other ways to manage the cash. And at the end of the day, once we hit free cash flow, we've got a lot of choices about how to allocate that free cash flow, some of the which may be keeping cash on the balance sheet and preparing. So, it's about net debt. It's not just the balance sheet debts there, but yeah, we're going to be trying to factor that all in, in conjunction with our, both our short and longer-term outlook on commodity prices.
Paul Y. Cheng - Barclays Capital, Inc.: Okay. A second one, real quick. I mean, in the past you provided what is the Eagle Ford and Bakken production. I just wanted to see whether you would be able to provide that for the first quarter? And also the split between oil and gas in those production?
Alan J. Hirshberg - EVP-Production, Drilling & Projects: Yeah, I guess the first quarter production at Eagle Ford was 168,000 oil equivalent barrels per day. I don't know if you've got the split.
Ellen R. DeSanctis - VP-Investor Relations & Communications: Paul, I can come back to you on that.
Paul Y. Cheng - Barclays Capital, Inc.: Okay.
Ryan M. Lance - Chairman & Chief Executive Officer: Not sure we have the split at our fingertip, Paul.
Ellen R. DeSanctis - VP-Investor Relations & Communications: I don't have it at my finger, but I'll get back to you on that, Paul.
Paul Y. Cheng - Barclays Capital, Inc.: Okay. Thank you.
Operator: Thank you. Our next question is from Edward Westlake of Credit Suisse. Please go ahead.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): Yes. Good morning. I guess we'll be dealing with this maintenance CapEx question again. I mean, I can see how you have spent a lot of money on these long-life projects which tend to have higher upfront CapEx. I can see how shale can be more efficient, I can see how things like Bohai and Aasta Hansteen and then some of the sort of conventional projects would be lower and looking forward to the Analyst Day. But the question I have is around, I guess, how much deflation or inflation have you included in the projection as you go out over time? Because obviously, the market's starting to think oil is going backup. At some point that may mean costs go up. So, maybe just a current comment on deflation in those types of assets as you bid out those projects. And then longer-term, what have you included in your assumptions? Thank you.
Alan J. Hirshberg - EVP-Production, Drilling & Projects: Yeah, I think that's a very fair point that you're making. Really, I sort of said it early, it probably went by fast, that when we think about this $5 billion to $6 billion over long periods of time to hold production flat, that's a real number. It's $5 billion to $6 billion today if we have inflation, and how that inflation comes back in, it depends on what's happening in the market and the industry, then the nominal number can go up over time. So it's $5 billion to $6 million under today's conditions or low price conditions. In a scenario where we are moving back up, $60s, $70s, $80s on the oil price, that number is going to go up. It's going to reflate. And so, we've done some estimates on how much of the cost reduction we've got. We think it's structural versus cyclical, but certainly there's a significant cyclical component that will come back as you move back up. Now, on some of these medium cycle projects, the ones you mentioned, those costs are fairly well locked in already, and so they're not going to change with reflation. The place where it will hit us first is in the unconventional North America, just as that was the place where we first captured and most heavily captured deflation. I expect that's where we'll see reflation coming back first. And so, I also mentioned a minute ago that one of the things that we've been doing to counteract that a bit is in the first quarter, that's when we started to work on locking in pricing for longer periods of time, particularly in the L-48 and the unconventional, where we give up the right to be able to rebid when we think things are going lower but instead lock in the price as things move higher over a longer period of time. Just trying to delay when some of that reflation comes back into our numbers.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): Yeah, a lot of folks trying to hedge oil prices but they should be trying to hedge costs right now probably. Second question around AP LNG. This may just be lower LNG prices, may be start-up cost but obviously the asset itself is performing well, but when I look at your earnings, obviously everything got worse in Q1 but I thought you might do a little bit better in the quarter. I mean, is there anything that we need to think about in terms of the start-up costs or anything else around that asset?
Alan J. Hirshberg - EVP-Production, Drilling & Projects: Well, at APLNG we're still heavy in the construction building Train 2. In fact, we just finished all the final (54:00), et cetera, on Train 1 and now we're pushing and 85% complete on Train 2. It still had a lot of construction work left to do this year, so there's a still a lot of capital going into that. So, that's what's driving the continued capital injection into APLNG. Once we've got the trains both running in you get into the $40s on crude price, say a mid-$40s kind of price, then we'll start to get cash back out from APLNG.
Operator: Thank you. Our next question is from Paul Sankey of Wolfe Research. Please go ahead.
Paul Sankey - Wolfe Research LLC: Hi. Good afternoon, everyone.
Ryan M. Lance - Chairman & Chief Executive Officer: Hey, Paul.
Paul Sankey - Wolfe Research LLC: Ryan – hi, Ryan – you presented the post-split that ConocoPhillips as having a differentiated model. It was somewhat inherited as a result of the split. As we go into this analyst meeting, what do you feel is going to be the differentiating aspect of ConocoPhillips that you want to promote? That's point one or question one. And then maybe for Ryan or for Al, this time around it feels like we may be, it may be different in so far as most companies are now saying they'll be less likely to commit to very large high upfront cost long-term projects and more likely to use the U.S. unconventional to flex production. How do you think that makes things different when we begin to – as has been asked many times on this call – when we think about how costs will inflate or not inflate going forward, and how you can, I guess, differentiate yourself in that respect, too? Thanks.
Ryan M. Lance - Chairman & Chief Executive Officer: Well, thanks, Paul. I'll take the first part and maybe Al can take the second part there. So, as we are go into this analyst meeting, as I tried say in my opening comments, Paul, I think sort of our disciplined capital approach is still fundamental. We had that at the spin and we'll continue to talk about that. I think the portfolio differentiates itself and as we learn more about the unconventionals, learn more – the technology, the work that we've done over the last few years – we just see lower cost of supply and a lot more resilience in that portfolio. So, I think the portfolio will continue to evolve and occupy a big piece of what we talked about. And then certainly what's different is, while the dividend decision was difficult, probably the most difficult I've had to make, it has reset the company. So we have, I think, we've lowered the break-even for the company when we start to generate free cash flow which is something we didn't have sort of at the spin as we came out of that. It was going to take until these major projects and we got lot through these long cycle time projects, to get up and running before we reached that condition. That was the case post spin, and that's even more so the case now. And I think what's different now is that a deeper and a better understanding of the low cost of supply that sits in the portfolio today was captured, which kind of informed our deepwater decision as well here about a year ago, which was a tough one at the time, looks better today, obviously, but was certainly a tougher one at the time. But it's been informed by what – as we've interrogated the portfolio and applied technology to that – what we can do with the existing captured resource space, and the kind of growth we can see or flat capital for a decade or more just by exercising the options we have in the captured portfolio.
Alan J. Hirshberg - EVP-Production, Drilling & Projects: I guess I would add to what Ron said that one of the things we've seen as we've worked over the last few of years to drive down the cost of supply across our whole resource base, is that we've been differentially successful in doing that in our unconventional, in our oil sands, and even some of our legacy conventional versus deepwater. That's one of the things that's driven our thinking around deepwater is that we haven't been able to drive that – that cost of supply hasn't – the structural part of it has been more difficult to drive it down versus, say, unconventional. Now, regarding your question on how industry comes back in the U.S. on the unconventional side, I don't think we're going to be the only ones thinking that we want to do some debt reduction before we go back to running rigs. So I expect that that along with some of the effects we were talking about earlier, will cause things not to come back up at the same speed that they came down. And of course, there will be that delay effect as well, just as we had on the way down, you'll have that on the way up. I already mentioned some of the things we're doing on the supply chain side to try to manage our costs on the way up. But I will say, we talked earlier, as we get to a free cash flow position and we're judging whether we want to put some money to organic growth versus per share growth versus other uses of that capital, one of the things we'll be looking at is what the cost is doing. If costs are reflating all the way back to where they were before, then our interest in putting that money back to work in that kind of work is going to be lower. So, we're going to be disciplined in managing those costs, and the pace that we go back to work will partly depend – the attractiveness of that – will partly depend on how that reflation works.
Paul Sankey - Wolfe Research LLC: Great. Thank you.
Operator: Thank you. Our next question is from Scott Hanold of RBC Capital Markets. Please go ahead.
Scott Hanold - RBC Capital Markets LLC: Thanks. Just got a couple of clarifications. First, you all obviously talked about the asset sales a little bit, but just to clarify. When you say you're seeing some softness in the market, is that specifically related to your deepwater package you have up for sale? And if I could add on to that the question, Al, you obviously talked about the success in Senegal. Is Senegal still within the deepwater package of stuff you look to sell?
Ryan M. Lance - Chairman & Chief Executive Officer: Yeah, I mean, we're seeing softness really across the board, Scott. And we've said before we're just not going to firesale anything. And we are prepared to continue to appraise and develop if we need to. We still have some things on the market in Indonesia. We still have our deepwater portfolio in pieces on the market as well. So we are still trying to progress that. Again, we know what our hold value is and we know what value it would take to sell the assets.
Alan J. Hirshberg - EVP-Production, Drilling & Projects: With regard to Senegal, we've had a lot of success there finding a new play in the area, and now we've drilled, we're on our fourth appraisal well right now, so we've drilled three appraisal wells, two drill stem tests now on our fourth appraisal well. And we've clearly proved up high-quality reservoirs with good continuity across a large area, and so there's been quite a bit of interest in that asset. And we'll see what happens there, but we've got a continuing appraisal program. It's going to take some more appraisal wells before that one's done, but we'll continue doing whatever appraisal work we need to do to establish the value of that asset.
Scott Hanold - RBC Capital Markets LLC: Understood. And my follow-up question, on the view of obviously focusing on more production per share growth going forward, is there a situation you would envision where it doesn't make sense to maintain production and do share buyback and obviously, let your production base decline? Or is maintenance for production sort of at the minimum threshold and then you're going look with free cash flow to buy back shares if it makes sense?
Ryan M. Lance - Chairman & Chief Executive Officer: Yeah, I think there may be periods of time where you don't put enough capital back in to maintain, but I think over time, we want to maintain our production. We don't want to shrink and decline the production. There may be periods of time where some of that happens, but over the long haul, no, we don't want to – I don't think we want to do that. We'll be looking at what kind of maintenance capital it takes to hold our production flat.
Scott Hanold - RBC Capital Markets LLC: Okay, appreciate that. So it's not a shrink-to-grow type of mentality at all? Got it.
Ryan M. Lance - Chairman & Chief Executive Officer: Yeah, I – no, Scott. I mean, now, that ex-dispositions, just to be clear. We do have some things in the portfolio that we still want to monetize over time, and I think the size portfolio that we have, we'll be in the market doing some of that just on a natural, constant basis. So all my comments are kind of ex-disposition.
Scott Hanold - RBC Capital Markets LLC: Understood. Thanks.
Operator: Thank you. Our next question is from James Sullivan of Alembic Global Advisors. Please go ahead.
James Sullivan - Alembic Global Advisors LLC: Hey. Good afternoon, guys. Thanks for squeezing me in. Just a very – a couple of little cleanup things here. One is, you guys loaded 11 APLNG cargoes during the quarter, I think you said, and a few more after. Do you have the number that were sold during the quarter?
Ryan M. Lance - Chairman & Chief Executive Officer: All of them.
Donald Evert Wallette - CFO, EVP-Finance & Commercial: They were all FOB sales.
James Sullivan - Alembic Global Advisors LLC: Okay. So they're all – they're all – so you're taking title as they go onto the ship.
Donald Evert Wallette - CFO, EVP-Finance & Commercial: That's right.
James Sullivan - Alembic Global Advisors LLC: Right. Okay. Great. Thanks. And then just this is a little bit more out there, but do you guys have – and if you don't have the exact number, maybe just what the trend is – kind of uptime percentage in the North Sea generally? I know you guys put a lot of iron up about two, three years ago over there, but I just wanted to see – obviously, you guys are doing some infill work there and playing, too. But how has that trended over the last three years in terms of cost absorption and so on and using up that infrastructure?
Alan J. Hirshberg - EVP-Production, Drilling & Projects: Cost – I thought I understood the question until the very end there. I thought you were asking about uptime.
James Sullivan - Alembic Global Advisors LLC: Uptime, yeah. I am thinking about uptime, and the read-through would then just be decreasing cost per unit by utilizing infrastructure...
Alan J. Hirshberg - EVP-Production, Drilling & Projects: Yeah, okay. I see. I see. Yeah, I get it. So yeah, we actually – there's some opposing forces there with some – we have seen over that period of time in the North Sea an increasing uptime trend. So we've actually been quite pleased with how our facilities have been running there. And that has had an effect in lowering unit cost. But we've also, frankly, have changed our philosophy a bit in a lower price environment where we're not willing to spend as much money to keep every barrel on as we were before, and so that tends to ameliorate that trend a bit. But still, despite that change in philosophy, we've still had an increasing trend. And between that and our other deflation and other cost reduction efforts, have seen a nice decreasing unit cost trend in those assets. You may recall when we talked about deflation at our Analyst Day last year, we said it was going to happen first in the unconventional, and it was because of the way we contracted; it would take longer to make its way to Europe. And so, we're seeing those supply chain benefits more this year are rolling into our European operations, that we weren't getting as much last year.
James Sullivan - Alembic Global Advisors LLC: Okay. Great. So there actually might be a little bit of non-linear effect as the price comes up and you guys kind of elect to increase uptime then?
Alan J. Hirshberg - EVP-Production, Drilling & Projects: Yeah, there's – if price gets up high enough where we're willing to spend those barrels, there is some potential for some non-linearity there. I don't see that as a huge effect, but yes, there's some.
James Sullivan - Alembic Global Advisors LLC: Okay. Great. Thanks, guys.
Operator: Thank you. Our next question is from Pavel Molchanov of Raymond James. Please go ahead.
Pavel S. Molchanov - Raymond James & Associates, Inc.: Hey, guys. Just one for me. This earnings season, every company is being asked the same question. How are your CapEx decisions changing now that we're starting to see a more durable commodity recovery? You guys went, in many ways, kind of the opposite direction, not just a cut but a sizable cut from February levels even though the curve is quite a bit higher. So, what prompted another phase in this reduction against the grain of how the commodity has been moving?
Ryan M. Lance - Chairman & Chief Executive Officer: Yeah, first, Pavel, it's our decision to get out of deepwater. I mean, that's what pretty much drove those $6.4 billion down to the $5.7 billion. It was half the reduction, and then, is just really monitoring the business as close as we can and dialing it and not wanting to spend any cash to take on anymore on the balance sheet. So, we'll defend the balance sheet and continue to wind down the deepwater program that we announced over a year ago.
Pavel S. Molchanov - Raymond James & Associates, Inc.: Okay. But I guess the intensity of the wind-down has obviously changed just in the last 60 days. So what prompted that?
Ryan M. Lance - Chairman & Chief Executive Officer: The intensity of the wind-down?
Pavel S. Molchanov - Raymond James & Associates, Inc.: Yeah, so the pace at which you're cutting deepwater has shifted just since February.
Ryan M. Lance - Chairman & Chief Executive Officer: Well, we just made the decision not to drill the last couple of prospects with the Maersk Valiant drillship. So, that's sort of a – kind of a cliff – that's not a wind-down sort of scenario. We just got to the point where we just made a decision internally that we weren't going to drill the last couple of prospects. So that was a fairly significant binary decision.
Alan J. Hirshberg - EVP-Production, Drilling & Projects: I mean, the more work we do on our portfolio, improving cost to supply and all the other things I was talking about earlier, the less relative attractiveness that deepwater has for us in our portfolio. And so, ultimately it's that sort of thing that drove us to say why are we going to drill these last two wells? We'll save the money.
Operator: Thank you. And our last question is from Asit Sen of CLSA. Please go ahead.
Asit Sen - CLSA Americas LLC: Thanks. Good afternoon. I have two quick ones. One on cash margin and second on Canada. So, if I'm looking at your Q1 2016 cash flow per barrel and compare it to potential incremental volumes coming on, so in other words, will the BOEs from Surmont APLNG be accretive to the cash margin? How should we think about that, because I understand the benefit of the decline rate, but on the cash accretion. And second on Canada, Al, I think you mentioned 6% increase in bitumen production. So, a decent shift in production mix. What does it do to the incremental cash flow profile in a very tough region?
Donald Evert Wallette - CFO, EVP-Finance & Commercial: Well, I'll try to address the question about the volumes coming out of the equity affiliate. So, in this year at these prices and with the capital plans within those equity affiliates, we're actually making cash injections into the equity affiliates. We're not pulling cash out. There are no distributions. So from a margin standpoint, that's not going to be accretive to our consolidated margins.
Asit Sen - CLSA Americas LLC: Got you.
Donald Evert Wallette - CFO, EVP-Finance & Commercial: And what was the second part of your question?
Unknown Speaker: APLNG.
Donald Evert Wallette - CFO, EVP-Finance & Commercial: Yeah. That applies to bitumen and to LNG from APLNG.
Asit Sen - CLSA Americas LLC: Okay. Thank you so much.
Donald Evert Wallette - CFO, EVP-Finance & Commercial: Sure.
Ellen R. DeSanctis - VP-Investor Relations & Communications: Thanks, Asit.
Ellen R. DeSanctis - VP-Investor Relations & Communications: Christine, I think that should wrap it up. Let's go ahead and thank people for your time and attention. By all means, call us back if you have any thoughts or questions. Appreciate your attention and we'll see you through the year and certainly on November 10. Thank you, everybody.
Operator: Thank you, and thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.